Operator: Good day and thank you for standing by. Welcome to the Linde plc Fourth Quarter 2021 Earnings Teleconference. At this time all participants are in a listen-only mode. Please be advised that today’s conference is being recorded. After the speakers’ presentation, there will be a question-and-answer session. I would now like to hand the conference over to Mr. Juan Pelaez, Head of Investor Relations. Please go ahead.
Juan Pelaez: Thanks, Cristina. Good morning everyone and thank you for attending our 2021 fourth quarter earnings call and webcast. I am Juan Pelaez, Head of Investor Relations. And I’m joined this morning by Sanjiv Lamba, Chief Operating Officer; and Matt White, Chief Financial Officer. Today’s presentation materials are available on our website at linde.com in the Investors section. Please read the forward-looking statement disclosure on Page 2 of the slides and note that it applies to all statements made during this teleconference. The reconciliations of the adjusted numbers are in the appendix to this presentation. Sanjay will provide some opening remarks, and then Matt will give an update on Linde’s fourth quarter financial performance and outlook, after which, we will wrap up with Q&A. Let me turn the call over to Sanjiv.
Sanjiv Lamba: Thanks, Juan, and good morning everyone. By all measures, 2021 was another successful year for Linde. Our employees around the world delivered strong financial results while exemplifying Linde’s core values every day. I’d like to take this opportunity to thank them for their tireless efforts to ensure safe, reliable and cost-effective supply of critical products and services to our customers. Slide 3 provides full year highlights by four key areas of focus. Of course, this list is not exhaustive. There are many more we manage every day. However, these represent the overarching priorities that I view is important to our continuing success. So let me begin with our shareholders. This year, we once again delivered industry-leading performance. That makes it the third year in a row since our merger. EPS grew 30%. Operating cash flows expanded 31% and ROC increased to 17.7%, with all three metrics reaching record levels. And it’s important to remember, we achieved these numbers from a very strong 2020 base, which also grew double-digit percent from 2019. We clearly demonstrated the resilience of our business in 2020 and the ability to leverage the economic recovery in 2021. We shared the success with our owners by distributing $7 billion in the form of dividends and stock repurchases, and I fully expect this trend to continue. This was all done while implementing an orderly CEO and Board share transition to ensure future performance without any disruption. In fact, we have positioned ourselves quite well for the future by winning high-quality opportunities that meet our disciplined investment criteria. 2021 ended with a record $13 billion of contractually secured backlog projects, including more than $1 billion for new semiconductor fabs with leading customers in the electronics end market. In addition to that, we made $2 billion of base CapEx investments, including a record 43 small on-site plants also with long-term contracts. And we have also committed close to $500 million in clean energy initiatives. Currently, we are reviewing roughly 300 decarbonization projects globally with probability adjusted add to more than $4 billion of potential investment opportunities. Of course, none of this is possible without the thousands of talented employees that run our businesses each day. We achieved best-in-class safety performance while improving gender diversity to 28%, well on track for our 30 by 30 goal. In addition, we improved on several other country-specific diversity goals to ensure we run and manage our businesses in a way that best reflects and supports the communities we live in. We are a very local business and it’s critical that we always strive to give back. In further support of that commitment, every Linde business contributed to the 400 community engagement projects executed around the wall. And all these actions were undertaken in another year of the pandemic with our teams providing reliable and uninterrupted supply of gases and services to our customers, including critical oxygen to millions of patients in hospitals and at their homes. Finally, we maintained a strong commitment towards sustainability by doubling down on our existing carbon intensity goals and announcing more ambitious, absolute emission reduction goals for 2035 and also a road map for climate neutrality by 2050. And while it’s happening to see independent recognition of our employees’ efforts in this area, including a few listed here from Dow Jones Sustainability and CDP, I know we can further improve. Overall, I’m proud of how the Linde team came together against several headwinds and delivered industry-leading performance once again. So as I sit here today, I’m more confident now than ever on our ability to deliver another record year in 2022. I’ll now hand over the call to Matt to walk you through the financial numbers. Matt?
Matt White: Thanks, Sanjeev. Please turn to Slide 4 for an overview of the fourth quarter results. Sales of $8.3 billion were up 14% versus prior year and 8% sequentially. You can see the effects of cost pass-through at 6% and 3% versus last year and the third quarter. While this is the highest quarterly number, we’ve seen in over a decade, it demonstrates the strength of our contracts by protecting returns from higher energy costs. And remember, this has no impact to operating profit dollars, but will negatively affect operating margins since we gross up both sales and costs. As anticipated, engineering contributed a solid 3% growth on the strength of their record project backlog. This trend should continue in the foreseeable future as they work through their multiyear $10 billion sale of plant backlog. Excluding these items, organic sales increased 9% over last year and 2% sequentially from a combination of higher volume and price. The volume increase over 2020 was broad-based with one third coming from project start-ups and the remainder from base volume improvement across all end markets. Sequentially, volumes were flat as growth in Food and Beverage, and Energy and Chemicals were offset by lower metals and seasonal reductions in our Southern Hemisphere LPG business. Price increased 3% over prior year and 2% sequentially across all geographic segments, with the largest increase coming from EMEA due to greater inflationary pressures. We continue to experience some pricing lag for the merchant and packaged business. So, we fully expect strong pricing in Q1 and throughout 2022 to recover inflation. Note, actual merchant and packaged price increases are mid-single to low double-digit percent across all segments. Operating profit of $1.8 billion is up 14% from last year and 2% sequentially. Operating margins of 22.2% are flat with prior year, but down 140 basis points sequentially. There are three drivers currently having a negative effect on operating margins, of which two have a neutral to positive effect on operating profit dollars and the third is a temporary lag that will correct over the next few quarters. The first factor is, of course, cost pass-through. And as mentioned earlier, a 6% increase is the highest we’ve seen. This is a standard part of our contracts that has no effect on profit dollars, but had an unfavorable impact to operating margins of 120 and 70 basis points versus prior year and third quarter, respectively. The second factor relates to the Engineering segment becoming a larger part of the growth. This will improve profit dollars and cash growth, but has a negative effect on mix since this business has a different margin profile due to the lack of capital intensity. Finally, the last factor is because energy prices have increased faster than price actions in the merchant and packaged business. This pricing normally lags one to two quarters and the higher inflation in Q4 caused this to push out another quarter. You can see in the table what the gas segment margin trends look like, excluding cost pass-through impact, up quite nicely year-over-year and down slightly on a sequential basis from this lag effect. I fully expect we’ll recover this inflation with underlying margins expanding in 2022. EPS of $2.77 in was 20% above last year and 1% above the third quarter. We also included a full year summary on Appendix Slide 8, showing sales and EPS growth of 13% and 30%. To Sanjiv’s point, this growth rate comes off a 2020 base, which also performed quite well. Full year and Q4 2021 EPS increased from 2019 by 46% and 47%, respectively, which emphasizes the continued growth of our business through any scenario. In fact, the business is well-positioned to outperform in all economic cycles. Our portfolio has ample resilient market exposure for recessions like 2020. High quality cyclical customers across all supply modes for expansion periods, like 2021, significant sale of plant capabilities to immediately benefit from capital cycles like we’re seeing today and sale of gas expertise, which has delayed capital cycle benefits, two to three years down the road. Simply stated, the Linde model can deliver leading performance regardless of the macroeconomic climate. The last point I’d like to make on this slide relates to capital management. You can see that ROC, which we view as the single most important metric for this industry, reached a new record of 17.7%. This doesn’t just happen overnight. It takes considerable effort from thousands of our employees to continuously deliver industry-leading profit and cash growth underpinned by a disciplined and consistent capital allocation process. And a big part of that effort went toward delivering the record operating cash flow of $3.2 billion, which is covered in more detail on Slide 5. The left side shows our quarterly operating cash flow trend. You can see that cash has increased each quarter for three straight years, and that 2021 was a record by growing 31% over prior year. The operating cash flow to EBITDA ratio reached 96% for full year 2021, well above historical levels. Part of this is driven by project prepayments in the $1.3 billion inflow of contract assets and liabilities, which is the accounting term to describe working capital for the engineering business. As stated before, engineering is a strong cash-generating business that delivers returns well within our investment criteria. These prepayments are from the record project backlog, which will benefit the income statement over the next three to four years. Due to timing effects, I expect 2022 contract assets and liabilities to be substantially lower than the 2021 level, but we still anticipate strong cash performance across the rest of the business units. Overall, I expect ongoing operating cash flow to EBITDA ratios in the low to mid-80% range. The right side shows how we deploy the $10 billion of full year cash flow. One-third was invested back into the business in the form of contractually secured growth projects and base CapEx, which represents both growth and maintenance investments. While a substantial portion of our business including packaged gases, health care services and engineering don’t require much CapEx to grow, so this only represents a portion of the future growth potential. In addition, we returned two-third or $7 billion back to shareholders in the form of dividends and share repurchases. Our January 2021 share repurchase program of $5 billion is substantially complete, and we will review the future capital allocation in our upcoming Board meeting in two weeks. Overall, strong cash contribution from all business units enabled Linde to invest for future growth, while rewarding shareholders. I’ll wrap up with guidance on Slide 6. First quarter guidance is in the range of $2.70 to $2.80, up 8% to 12% from prior year or 11% to 15% when adjusting for the assumed 3% currency headwind. Sequentially versus Q4, this range assumes flat economic conditions with seasonally lower volumes, offset by higher inflation recovery. Q1 is traditionally the weakest quarter of the year, including for cash flow due to payment timing. Full year 2022 guidance is $11.55 to $11.85, representing an 8% to 11% increase versus 2021 and or 10% to 13% when adjusting for the 2% FX headwind. The midpoint of this range assumes flat economic conditions and thus, no base volume improvement. Consistent with our prior approach, this is not our economic forecast, rather, it merely represents the underlying assumption in the guidance range. You can insert your own view of the 2022 economy. And if it does better, I’d expect to be at the top end or above this range. And if we experience a recession, we’ll take actions to meet this commitment as we did in 2020. There remains a lot of uncertainty heading into 2022. And despite all the expert forecasts, nobody knows what will happen. However, we have an industry-leading business portfolio and contractually secured project backlog. So regardless of the economic challenges, we remain quite confident in our ability to continue delivering shareholder value. I’d now like to turn the call over to Q&A.
Operator: [Operator Instructions] We’ll take our first question from Steve Byrne with Bank of America.
Steve Byrne: Yes. Thank you. I’d like to drill in a little bit on your engineering business. You had this kind of pop in revenue in the fourth quarter, and you have had this sale of plant chunk, the $6 billion project recently. But when you look over the last four years, revenue hasn’t changed much. Backlog hasn’t changed much, but your margins have doubled. Can you comment on what have you done to do that? Is that just productivity? Or is this a mix shift? And how has your view of the value of this business and the benefit to the broader operating units change since the last few years.
Sanjiv Lamba: Steve, I’ll let Matt take that question, and then I’ll add on to that.
Matt White: Sure. Hi Steve, so first, on your question on the history, the backlog on the third-party actually has declined if you go back a couple of years or the last year or so. But the margins have been able to maintain quite well because recall, we showed the segment of the third-party business. In addition, the engineering organization also works on our intercompany sale of gas backlog. They have the ability to gain absorption of the labor and build that and our sale of gas backlog that they support and perform will be part of the CapEx of the organization and the sale of plant backlog that they perform and execute become third-party sales and profits for the organization. So this was what something – as you probably know, we talked about even at the merger time, this combination of the companies bringing all of the opportunities, both sale of plant and sale of gas not only give our engineering organization a good backlog to work with, but also really helps with their very strong technical capabilities across growing in both areas. Now when you think about looking forward, I think the simple way to think about how to model this business, the sale of plant third-party backlog is translated dollar for dollar. So our sale of plant backlog is $1 backlog equals $1 of sales in the future. And as you probably know, the sale of gas backlog is $1 of CapEx. So it has a different ratio to sales. So for the engineering business, about a $10 billion backlog means we will get about $10 billion of future sales, and it’s usually over three to four years on how that’s recognized. And from a margin perspective, as long as they continue to have a good backlog of both third-party and sale of gas, it will allow them to efficiently manage their costs and obviously leveraging our global footprint in terms of what the hourly rates are. So hopefully, that answers your question.
Sanjiv Lamba: Let me just add on to that a little bit, Steve, in terms of how we see that business. So there are a couple of things that the engineering business allows us to do on the gas side as well, which make it quite unique and important for us. One is early insight into projects. So when one of our customers is looking at a large project, they will reach out to the engineering team and get some inputs. We get very early insight into that and obviously are able to leverage that. Now the next step from that is our ability then to be able to say whether we want a particular project to go down the sale of gas or a sale of plant option. And again, that optionality is something that comes intrinsically by having the engineering in-house. And last but not least, it is really a competitive advantage as we look at the transition that’s going to happen with clean energy. There is a whole new market opening up. And of course, right in the heart of that is technology, which is owned and proprietary to Linde Engineering and their ability to take other technologies and build them into solutions that will hold us in good stead as we look ahead.
Steve Byrne: Thank you for that. And one – quick one on your European business. Can you provide a split on revenue between on-site and merchants and cash? And the sequential price/mix increase of 4%, were you aggressive about pushing through price early in the quarter in order to achieve the results we did?
Sanjiv Lamba: Right, Steve. So the split roughly around the EMEA business, which kind of spans about 40 countries, but that split is roughly about third, two-thirds. A third of on-site whereas you know well, the pass-through kind of goes automatically from the contractual structures we have and about two-thirds of merchant and packaged, where, again, a lot of hardware goes in. And to your point, we’ve been – you might recall, Steve, that sort of about four quarters now, we’ve been talking about inflation. It isn’t new. And while it’s not well recognized, I thought it’s worthy of just a quick reminder. We operate in about 100 countries. Some of the best businesses that we have in many parts of the world, including Latin America, Asia and Europe, have been actively managing inflation over decades. It is not new to us. It’s a muscle that we flex from time to time, and it’s part of our performance culture, kind of getting into the details, digging in and showing we’re executing on pricing and productivity actions day in, day out. So that’s what the guys have been doing over there. We kind of treated as part of our ongoing business process, and they run that every day in that quarter. It isn’t something that we do at the end of the quarter or at the beginning of the quarter.
Steve Byrne: Thank you.
Operator: Our next question from P.J. Juvekar with Citi.
P.J. Juvekar: Good morning, Sanjiv and Matt. You just talked about your 300 decarbonization projects, you said potential of $4 billion in pipeline. How advanced are these projects? And when do they – when are they likely to get added to the backlog?
Sanjiv Lamba: Right, P.J. Thanks for that question. So obviously, we are very excited seeing the number of projects, the momentum that’s building up around that. Very important to always remind ourselves that these projects have long lead time and development. And we are seeing that on any major project, of course, even more so on some of these clean energy projects. Typically, these projects are divided into three – we kind of categorize them into three headings, if you will. There are a number of projects around mobility. You read about them every day. And many of these projects, of course, they are smaller in size relative to the other two segments, but many of these progressing at different paces. Large numbers in green, but a number of blue projects linked to mobility as well. The second bucket is really around industrial applications. This is where we are seeing either incumbent customers or new customers, look at blue hydrogen, green hydrogen, look at how they convert and decarbonize their own processes, whether it’s steel, chemicals, refining. It’s a long list. So all of those activities. Now being at the heart of that, and in most cases, incumbent in there, we are working actively with our customers to be able to help them understand their decarbonization strategy. And as a consequence of that, provide the input needed from our perspective to support that. The last segment is really where we are looking at the energy transition. So use of hydrogen in particular as an energy source, either through a carrier, so ammonia gets talked about a lot, or hydrogen by itself. And that’s a large segment, as you would expect, but is complex because it kind of has its own dynamic around larger. So as you’re dealing with kind of political structures and of course, a need for a global trade structure that allows for that distribution levels to happen. So we see development in all of these three. I think those 300 projects kind of fall neatly into there. And again, I have to say that while momentum is building up, and of course, you’re reading lots of announcements every other day, I know. I do, too. But I don’t really see many of those announcements translate into projects immediately. There is a lead time to that development. Do I see that the $4 billion that you referenced? Now remember, that $4 billion is probability adjusted. I mean if I was to open up the Pandora’s box and tell you what the absolute value is, we are talking $20-plus billion in terms of absolute value of those projects, but probably adjusted on a reasonably conservative lender basis, as you would expect, we think about $4 billion will come into kind of decisions, FID decisions for us in the next three years.
Matt White: And P.J., this is Matt. I may just add to that as well. Recall that our definition of project backlog is really the most stringent in the industry. So we have been executing right now some of those green projects as part of our base CapEx. If you noticed sequentially, it even it popped up here about $130 million, $140 million. So these are ones where we’re building density. These are ones where we’re converting to, say, blue or green on some existing hydrogen network. So they are happening. But to make our project backlog definition, it requires a very stringent approach, but we fully expect to see some there in the future, to Sanjiv’s point.
P.J. Juvekar: Great. And just a question on the flip side of the energy prices. So these high energy prices, does that accelerate your green blue hydrogen projects? And just with higher power costs, what is the cost of green hydrogen today? Thank you.
Sanjiv Lamba: So P.J., that’s a fairly broad question. Let me just take a step back and mention something to you, which I think is important to remind everyone, which is that one of the areas around energy transition, and we are seeing a bit of pragmatism in Europe, as you know now, because the taxonomy is now describing both natural gas and nuclear as being in the green kind of zone, if you will. But one of the things to just remind us, natural gas will continue to be very important as we look ahead. So I see certainly momentum building up on natural gas, more investments, the capital cycle that Matt referenced in his comments earlier on, we see some of that playing out. And the projects that we are talking about in Linde Engineering as well, a lot of them serving that natural gas, growing natural gas business and development linked to that. So that is important just to recognize because we see that as part of the energy transition. You’ll see a role – a very important role that natural gas will play. Let me move on and talk about whether the energy costs are actually supporting this transition. And my view is, there are two transitions happening. I believe in the next decade or so, you will see scalable technology for blue hydrogen pickup now get applied now and actually create a transition to that ultimate greener energy transition that is often talked about. So I really see blue playing a big role. And really, the kind of power pricing that you referenced earlier on, doesn’t have a direct impact on that. And therefore, that momentum is on its own. On the green side, yes, as you see energy prices move up there is a bit of a challenge around that. And that will get factored in. Of course, all of this will normalize. The reality is what you see today isn’t what’s going to be for the next five years. So we should look at green hydrogen with that perspective. There is a lens of maybe a five to seven year development cycle, I’ve said this before. Our technology road map suggests that there’s a five to seven year cycle for that scale up to happen and for green hydrogen to stop, then still be at a premium, but a more acceptable premium to maybe blue as we look ahead.
P.J. Juvekar: Thank you.
Operator: We take our next question from Nicola Tang with BNP Paribas.
Nicola Tang: Hi, everyone. And thanks for taking my questions. First, I wanted to dig in a little bit more on the pricing dynamics. I think you mentioned that in your opening remarks that the cost inflationary pressure was bigger in Europe. So I was wondering why the sequential change in – or the sequential margin squeeze was actually larger in Americas than it was in Europe on an ex-cost pass-through basis. Is that to do with, I don’t know, Americas not being as effective at pricing? Or is it perhaps to do with the pricing dynamics in Lincare? And I guess, linked to that, could you talk a little bit about how the pricing dynamics in health care versus other industrial exposures and how the contract structures work? That’s the first one. Thank you.
Matt White: Hi, Nicola, it’s Matt. So first, we’ll start with saying there’s no structural concerns. I just want to make sure we’re aware of that and we understand that. And I think it’s important also to realize that – as you may recall in our last quarter, Europe right now is in the middle of some, we’ll call larger cost actions that they’re taking as well. And you remember, Americas and APAC had done those earlier. And we always said that EMEA would be a little later, and so they’re in the midst of those. So what you’re seeing in EMEA is a combination of, yes, higher inflation and pricing actions, but also in the middle of some cost actions that they’re taking, which will help the margin profile. In the Americas, I would not say there’s anything concerning or different. To your point, the health care profile on pricing will be different, right? That won’t price as fast to inflation. It tends to be a little more structured. Now that being said, at least in the U.S., they are getting a large inflationary price increase that will be effective here January 1. So that’s a normal part of the process. But I would say it’s more a function of how the cost actions are being taken in EMEA right now on a delayed basis, which is causing that.
Nicola Tang: All right. Thanks. And then just a quick one around volumes. It looks like all end markets were up sequentially apart from metals and mining. And I know it’s still a bit early in the year, but could you maybe give us a whistle stop tour of what you’re seeing so far across some of your key end markets? And I guess specifically comment on the metals and mining points.
Sanjiv Lamba: Sure, Nicola. Why don’t I do that? And what I’ll do is I’ll walk you through Q4 just to kind of build the base and then quickly talk about the outlook that we’re looking at. And I’ll talk specifically about metals and mining in China, as you know, that’s quite intrinsically linked. So let me start off with Americas as maybe the starting point. Overall, in Q4, you saw a strong growth about 7% up. It was pretty broad-based when I look at the market breakdown, metals, manufacturing, chemicals and refining, all cyclical end markets strongest. Followed, of course, by electronics and food and beverage, which also did quite well. And just very quickly, I’m going to cover refinery because I know a number of you are interested in that. Our refinery volumes are up higher than pre-COVID levels. Excluding start-ups, we are at about 15% up. Including startups, about 24% up when I look and compare the fourth quarter of 2019. Now sequentially, we saw chemicals and energy continue to be strong. Metals lagged a little bit in the Americas as well, largely as a result of customer turnarounds that happened in the last quarter. Manufacturing is slightly weaker, but that’s kind of what we typically expect in the third and fourth quarter. So nothing unexpected over there. The other way to look at the economy is what happens on the packet side of the business. And again, in the U.S. we saw good growth across all end markets, so which is really good to see. Both gases and hard goods saw double-digit year-on-year growth, pretty strong growth there. Sequentially, gases might have been about flat. Hard goods continue to grow. So again, that is good to see that. As I look ahead into the current quarter, I can tell you that we are seeing that fundamental demand stay strong. There are the supply chain challenges. And obviously, the inflation number that came out this morning will worry people, but we still see the underlying demand being pretty strong around the Americas and nothing that I can point out to that suggests any shift from what we’ve seen. Let me move on to EMEA and talk briefly. So again, broad-based growth in EMEA really led by industrials recovering metals manufacturing, high single-digit in Q4. We saw a nice recovery in food and beverage. I’ll thank everyone on the call who went out and bought a beer of pub because we were up 20% in the overall and in the UK in particular. So that is kind of good news. Sequentially, volumes are more or less flat, even though we had less work days in the quarter. And again, in EMEA, I see that trend holding for now. I can’t see anything other than some marginal adjustments on health care, where we had a bit of a spot in a few countries around medical oxygen, but we’re seeing elective surgeries pick up. So, I see a bit of offset in that coming into the Q1 as well. APAC, volumes up 7%, about what I’d expect, led really by electronics, chemicals and energy and manufacturing. This is where metals and minerals or mining for us was lower than last year. And as you heard the story before, curtailments in China, really the root cause of that. And again, sequentially, in APAC in Q4 as well, we saw they were about 2% down largely linked to metals and mining in China. Some customer turnarounds in chemicals as well. And then there was some seasonal adjustment for LNG – LPG volumes in South Pacific that kind of tends to happen every year. Just on China, again, recognizing that people are tracking this quite closely. If I look at January in particular and look at some data that we’re kind of tracking, I see steel a little bit holding back a little bit. I think in the first three weeks of January, it was down about 10% to 11%. The key production cuts and some constraints and curtailments that are in place, likely to be there till early March in provinces like Hebei, Tianjin, Beijing, Shandong, et cetera. After that, I expect that we’ll get back to last year levels, 2021 levels. And overall, for the year, I’d expect that we’d probably see something which is flat or slightly up. Also looking at, obviously, some of the Q1 numbers get adjusted for the Chinese New Year kind of impact. So, once we look at that, we find the other segments, electronics, holding its own pretty solid so far. Automobile production up a little bit, up about 6% of the first three weeks of January. Again, that’s a good signal. The last week of January, you have to ignore because that’s the week before Chinese New Year. So things start kind of shutting down, and that’s just a normal course of event. So, we’re watching closely to see what happens in China on the recovery next week onwards, that’s when the recovery post-CNY or post-Chinese New Year will happen. So we’ll kind of figure out how that plays out as we look ahead into the rest of the quarter.
Nicola Tang: That’s great. Thank you so much for the detail.
Operator: And we’ll take our next question from Bob Koort with Goldman Sachs.
Bob Koort: Thanks very much. Sanjiv, I want to go a little deeper on the pricing and the electricity and power costs in Europe. It seemed like there was quite a bit of investor consternation some market players were talking about four and fivefold increases in those costs. So, you guys did a remarkable job in the quarter. Do we have more to come? Is there a peak pinch point coming up in the first or second quarter? And then if you could, could you just talk about how you specifically introduce price through your three primary distribution methods? Thanks.
Sanjiv Lamba: Sure. Thanks, Bob. So let me – maybe what I might do, Bob, is just take a step back and talk about inflation in general because it seems to be on everyone’s mind, talk about how we address inflation more broadly and then talk about the different supply modes and how we kind of work our way through that. So in gases, about 70% of our costs are really in three buckets: power natural gas the first, wages and distribution, the other two. Now really, energy cost increases are a part and parcel of the industrial gases business. I mean it’s something we manage every day. If power or natural gas costs go up, we make sure all our on-site contracts are passing that energy cost through. You can see that in our pass-through line, you see 6% year-on-year for the quarter, 3% sequential. And Matt said this earlier, it’s one of the highest in the decade. So that’s pretty high. But again, it’s part of kind of the norm of the business that we just run as we manage that on a day-to-day basis and pass it through. In parallel, our merchant and package businesses know what needs to be done. They’re out there in the field, pricing our products to cover these cost increases every day. There’s price escalation clauses, there are charges, surcharges, et cetera. So when you see that overall pricing line 3% year-on-year, 2% sequential, that kind of means merchant and package pricing is about double of that amount. I could tell you that across segments, I see a range somewhere from mid-single digits to low double-digit. Now clearly, not enough to cover the power inflation in the quarter itself, and we both referenced this in our remarks earlier. But we tend to have a lag of maybe one to two quarters to recover the full cost inflation. But you should know, we will continue to see pricing going forward, and we will recover that cost inflation as we’ve done over decades. So again, not something new. That’s kind of how we think about it. Wages is the other cost bucket I talked about. Something that we – I particularly keep a very close eye on and our team knows that productivity needs to offset cost inflation. I’m really pleased, and I’ve said this before with how we’ve embraced that productivity culture across this new merged organization, and I see progress in all fronts there. We allow this productive review in the next few weeks. I’m confident that the Linde employees across segments will have several hundred projects focused on efficiency focus on automation, leveraging technology to make our work streams even more efficient. So it’s an ongoing piece. It’s kind of in our DNA. It’s what we do and work through and wage inflation gets offset through a lot of activity that happens on the productivity side. Finally, distribution costs, I can’t say that we’re not seeing driver shortages and costs related to that. But I can also tell you that we have charges and surcharges in place today to mitigate that cost. Now more work needs to be done, clearly, particularly in hiring drivers, which is a bit of a challenge in the business but also in ensuring that each business is passing that cost inflation through. So again, all in, team is working to pass the cost inflation through. We currently see every element of that cost inflation is looked at by those teams, we reviewed at our GBRs every month. And they kind of do have done a fairly good job, but there’s more needed to offset the cost inflation in its entirety. And you should expect continued pricing and productivity to reflect that as we go forward. For the three different segments, I hope Bob I’ve given you enough color, but the on-site piece pass through it’s kind of direct action. On the merchant piece, there is a lot of work that happens on both the merchant and the package side, and we kind of leverage that on an ongoing basis. And again, going back into our history, if you go back, I don’t know, 20 years maybe, there’s never been negative pricing. We’ve always been pricing positive. And that’s just the way we run the business. And as I said earlier, managing cost inflation, energy cost increases in particular, part and parcel of an industrial gas business.
Bob Koort: That’s terrific. Very comprehensive, thanks Sanjiv .
Operator: We’ll take our next question from Duffy Fischer with Barclays.
Duffy Fischer: Good morning, gentlemen. First question, just around the guide, so $275 million, if you annualize I get to 11%, your midpoint is $0.70 higher than that. So can you just talk about as we go from Q1 through the next three quarters where that $0.70 comes from?
Matt White: Duffy, it’s Matt. First, as I mentioned in the pre-remarks, as you well know, Q1 is always our seasonally weakest just given some of the seasonality we see, whether it’s Chinese New Year, Brazilian Carnival, a lot of the events that happen in the first quarter. So you always have that component. Furthermore, our backlog is starting up. Our projects are contributing. They will continue to ramp forward and bring value. And we mentioned we still expect strong pricing throughout. So we fully feel good about that full year guide. We’re obviously giving our first quarter based on how we see the seasonality. I mean if you go back traditionally, Q4 to Q1, it’s usually flattish or even slightly down when you exclude things like FX. So I think you are seeing a little bit of improvement there. But as I mentioned, we’re taking a very neutral assumption on the macro and if we see some growth in the macro, that will be some upside to how we’re thinking about this. But right now, we feel quite good about that full year, and we should see some ramping and improvements in EPS, just given project contribution, pricing actions, cost actions, et cetera, as you normally see in a business like this.
Duffy Fischer: Great. Thanks. And then could you talk a little bit more in depth about the health care business. How has it grown over the last year relative to the overall business? And more importantly, particularly like the home health care delivery business, how does it price, because as I recall, its mechanism is a little bit different with bids and stuff like that. So how does it price in a situation like this where you’ve got a lot of inflation?
Sanjiv Lamba: Duffy, I’ll kind of cover that as you kind of made the question in two parts, right? Let’s talk about the business that deals with the hospitals and where we supply products. And as you know, our teams did a fantastic job in the course of the year, making sure that very, very critical medical oxygen needs were met across the world. And that business – we said this before, we’ve seen those medical oxygen volumes start to trend down. We’ve seen normal elective surgeries trend back up, and we’re seeing that kind of offset each other and see our view of kind of long – mid to long-term growth in health care, mid-single digits. And we are seeing that business trend to that over that kind of horizon. You see about 3% growth year-on-year in the first quarter. So I don’t expect anything exceptional over there more broadly, but we do see that kind of trending to that mid-single-digit number. As far as home care is concerned, we, again, saw some peaks happen. And with the COVID infections going up, we saw oxygen pick up. When you think about volumes on the home care side that tends to get offset then because some of the other businesses that we have tend to kind of not get prescribed as much, and therefore, you see that offset in volume. We kind of saw that. We saw nothing unusual. We’ve kind of seen that for the pandemic right through, and we saw that right happen through this period as well. Again, just as a reminder, I think that business deals with maybe about 150,000 patients, if I’m not wrong, 150,000 patients that we supported through the pandemic, ensuring that home oxygen was available to them as they came out of critical care and so on and so forth. So again, a good way of just contributing to the fight against pandemic, if you will. Pricing on that, there is some history there, Duffy. But essentially, the CMS and a lot of the – basically, the – in the U.S., in particular, the agencies have recognized the critical need of that. And we haven’t seen that competitive bid piece play out in the last two or three years, more than that now – actually, three-years plus. And I think there is some degree of stability on pricing in there at the moment.
Duffy Fischer: Great. Thank you guys.
Sanjiv Lamba: They do get an inflation adjustment that Matt pointed out earlier, Duffy, in case I have missed that.
Operator: We take our next question from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Thanks very much. In one of your slides, you say that you’ve sourced more than 1/3 of your global electricity from low-carbon sources. Do your customers want you to do that? Do they want to pay a premium for electricity from low-carbon sources? And how do you manage the issue of passing through raw material costs if you’re accessing more from low carbon sources and that electricity is more expensive. How does that negotiation work with your customers? Can you expand on this?
Sanjiv Lamba: Sure, Jeff. So this is something that we’ve been doing for some time, Jeff. So it’s not new. And there are various parts of the world where we have the ability to source renewable and low carbon energy and power, in particular, and we’ve been kind of doing that and passing those costs through. You’re right. In some markets, we are more advanced than others. The UK is a good example, parts of Europe, a good example, where these are well understood by the customers, and that pass-through mechanism has been built in around that, and they accept that. There’s a separate stream of green products that are now coming out. And again, we’re getting premium for that. This is a very small nascent market. So I’m not going to stress too much on it, other than to just tell you that there is a growing demand, small at the moment, but growing where our customers for their own requirements because they want to be able to certify their products – end products as being having a green component are seeking green products from us, which we are able to provide because of some of the sourcing that we do. And there, you do get some premium. Again, it’s not exorbitant, but there is some premium over a normal product that we’d be able to provide. Now as we go forward, a large number of customers across the world, in fact, are speaking to us about how green are we going to be longer term in terms of our power sourcing. And again, there are two components to that, Jeff, that we need to always remember. One is that the grid itself is greening and we do see that. And the other is how actively will we go and get renewable or low carbon power. And I think that’s – those are the two elements that actually bring up that number that you talked about, the third that we have today and growing. And again, as the grid green, there is a broader momentum around that. So that gets picked up and that’s kind of reflected in the grid pricing that comes through. And where we do active there, I think, clearly, we have a blended rate that goes to the customer and gets recovered. The only thing I can tell you is that today, we’re recovering fully on our energy costs and our power costs, even with this blend of 35% renewable and local.
Matt White: And Jeff, I would just add, when you think about low carbon, you have to think holistically. So while I know the first thing that comes to mind is always solar and wind, which clearly can be a little more expensive. You also have to think of hydro, right? In hydro power, we use extensively where we can. It tends to be lower cost power. And so by blending some of that hydro in and especially with some of the other new green opportunities, it can still give us a very attractive average cost of power.
Jeff Zekauskas: And then secondly, in the quarter, was there maybe $75 million or $100 million of increased energy costs that you weren’t able to recover from pricing that you expect to recover in the future? What’s your gap right now?
Sanjiv Lamba: Jeff, without getting to the numbers, the principle that I want to tell you is that we absolutely expect to recover the lag that we have from the previous quarter’s inflation that we’ve seen. And as a principle, you should expect that our pricing will ensure that, that lag is covered.
Jeff Zekauskas: Great. Thanks so much.
Operator: Take our next question from Peter Clark with Societe Generale.
Peter Clark: Hi. Yes. Good morning. The first one is on productivity actually. It never ends, of course. I saw on the APAC slide, it’s being stepped up, if I remember rightly, obviously, APAC started quite early after when the merger started. So just wondering what’s going on there? And then within Europe, you alluded to the fact, productivity, of course, is a help in the fourth quarter. Am I right in thinking there’s still a bit of positive momentum in Europe? So when we go maybe Q2, Q3, you get over the lag, you’re expecting a little bit of a margin bump coming through in EMEA? Thank you. That’s the first one.
Sanjiv Lamba: Why don’t I start with Europe first. So the answer is, yes, there is a lot of activity going – ongoing on productivity generally, but more importantly, in Europe, specifically in a number of high-cost countries. There is a specific cost program that the European business is pursuing. You saw us take a restructure charge. I think it was the quarter before, and that is going through. So that will have consequences, of course, positively so on the margin that you’ve just referenced. And as far as APAC is concerned, you’ve heard me say this before, a lot of the businesses in APAC kind of embraced that productivity piece and have built a lot of momentum around that. There is an active activity at the moment globally, but APAC kind of trying to take a bit of leadership on this around seeing that a significant portion of that productivity comes from digitalization efforts. We believe digitalization provides the right booster for our productivity at the moment. And again, I’ve set some internal goals that they are pursuing quite aggressively, and I’m pleased to see the progress they’re making on that.
Peter Clark: Okay. Thank you. And then Matt, you alluded to the fact the backlog is ramping up this year. I think you have the target now for the backlog providing mid-single digit to EPS. Just wondering if 2022 is going to be one of those years or the first years of that, and then potentially what that might mean for the topline kicker from that, because I think 2%, I think in the fourth quarter you alluded to. So presumably it’s going away 3% towards 4%, I don’t know? Thank you.
Matt White: Sure, Peter. And to your point, the 2% I alluded to would be specifically on the sale of gas because we were talking about the base volume. So when you think about the total backlog and totality of sale of plant plus sale of gas, you’re absolutely right, mid single digit is how we think about it, that’s clearly through 2022, and we can see that in several years out, just given the size of the backlog and the time to work it through. So we feel very good about that, and that’s something we reinforce and will be part of our continued performance and outlook.
Peter Clark: Good. And I am looking forward for the new share buyback. Thank you.
Matt White: So am I.
Operator: And we’ll take our next question from John McNulty with BMO Capital Markets.
Bhavesh Lodaya: Hi. Good morning Sanjiv and Matt. This is Bhavesh Lodaya on behalf of John. Thanks for all the color on the pricing and the inflation side. A quick follow-up on the volume side of things. Are you seeing any impact from the ongoing higher pricing either through demand destruction or just delays in the volume recovery in the economy? And is that something that could come back once prices moderate?
Sanjiv Lamba: So the simple answer to that Bhavesh is no. We are seeing underlying demand growth continue to be there. You saw that in the Americas, up 7%. You saw in APAC, up 7%. EMEA plus 2% and growing. So I can’t see, I can’t reference any demand disruption. I think we are on a solid kind of demand pattern at the moment. Impact really comes from supply chain issues and logistics and things like that.
Bhavesh Lodaya: Understood. Fair enough. And then looking at your backlog, so you’re clearly being very active in the semiconductor electronics space. Those customers are investing a lot in the capacity for multiple years now. Can you add some color as to how the electronics part of your backlog looks like now? And then how do you see the share of electronics as a percentage of your sales go from the 18% that you show right now?
Sanjiv Lamba: Absolutely. So it’s my favorite topic, so I’m glad you asked. So from a market perspective, I’d say it’s one of those end markets that I referenced earlier on saying that we won $1 billion of projects in the last year to serve top end customers, the top 1, 2, 3 in electronics to end markets with those wins. I’m also very pleased to say that I am confident that electronics will probably be the strongest growth contributor to our sale of gas backlog for the next couple of years at least, this year and maybe another two. So again, it’s an area that our technology and operating expertise carries a lot of weight. We have customer relationships that are very critical. It’s currently only 8% of our sales, Bhavesh, so not 18% but 8%, and I expect that to continue to grow, and I certainly see that at double digit.
Bhavesh Lodaya: Got it. Got it. Thank you.
Operator: We’ll take our next question from David Begleiter with Deutsche Bank.
David Begleiter: Thank you. On the sales gas backlog at a high level, do you see this increasing over time? Or do you think it will stay in this roughly $3.5 billion plus range?
Sanjiv Lamba: Hey David. So the way I’m looking at the backlog, and I kind of referenced a little bit around what we saw on the electronics side and what we see happening there. I’ll talk a little more about proposal activity because that feeds into that question, but this is my view. We’ve got a backlog of about $3.5 billion at the moment. We have about $1 billion of start-ups this year, mostly at the back end second half of the year, if you will. So $1 billion of that is going to come out of the backlog, and I’m glad it does because that starts generating revenue and profits for us. I’m seeing a fair amount of proposal activity as we speak. And that really gives me some encouragement to say, I expect that we’ll fill that backlog either be at this level or maybe a little bit higher by the end of the year. Just where is that coming from? So we’re seeing strong electronics opportunity pipeline. And I fully expect, as I said in a minute ago, that electronics will continue to be a strong contributor to our SOG backlog for this year and a couple more. So that’s kind of a good starting point. Chemicals demand also remains reasonably strong. We kind of see some projects coming up in that space that are – in addition to our more traditional projects, we’re also seeing methanol and ammonia projects come up in that space. So again, seeing a number of companies evaluate, the investments in those segments. So happy to see that progressing as well. On refining, we’re seeing requests for blue and green hydrogen studies ramping up significantly. Customers are also reaching, obviously, how we can help them kind of capture carbon. And if we can provide some services around that. So again, we see some opening up there as well. And then I mentioned to you the 300-odd kind of decarbonization projects overall, if you will, all of which kind of look like they’re moving forward. Some of them will come for decisions into the backlog this year. But of course, they have their own lead times that kind of have to be worked through.
David Begleiter: Very great. And just back on health care, Sanjiv, anybody you parsed out the benefits from COVID this year that might not repeat next year or in 2022?
Sanjiv Lamba: David, the way I’m thinking about this is I am seeing that trend down for sure and we are seeing normal health care volumes. So what happened was in hospitals, in particular, all surgeries came to a stop and the hospitals got dedicated or really primarily served COVID patients. As COVID infections and hospitalizations in particular, are going down, there are a number of very critical elective surgeries that have been postponed, which are now coming back and which need oxygen for their procedures. So we’re seeing that ramp back up. And that’s probably the best way to think about that, where we’re seeing that offset intrinsically in the health care volumes by itself.
David Begleiter: Thank you.
Operator: And our last question comes from Laurence Alexander with Jefferies.
Laurence Alexander: Good morning. I have two quick ones. Some of the questions assumed or implied that the pricing would catch up to the cost gap in – within a quarter or two. I just want to clarify, is that true? Or do you think it would take longer than that? And secondly, as you look at the longer term with the energy transition and the uncertainty around the industrial architecture and how that might be rearranged, does that affect at all your interest in doing larger kind of portfolio optimization, streamlining the number of countries you’re operating in?
Sanjiv Lamba: Hey, Laurence. So the simple answer to pricing is that whatever gap there is, we will recover that. So that’s kind of how we operate and look at this, and there is no gap at the end of that process. And hopefully, that helps. Talking about energy transition and industrial architect, it’s a great question. It merits a longer discussion. But in a nutshell, the way I describe it to you is, we think of the energy transition, and we see opportunity arise as a result of that, and we’re seeing that either through the blue ammonia, blue hydrogen route in due course, developments around green hydrogen, green ammonia as well. And we’re seeing different industries open up and different opportunities open up as a consequence of that transition. Coming to the portfolio rationalization piece, we kind of look at that anyway, irrespective of the energy transition. If there is some overlap there, obviously, that will get factored in. But irrespective of that, we kind of constantly look at our portfolio to try and understand positions that we feel give us the leverage that we want and look at. And you’ve seen that strategy being executed over the last year where we’ve exited a number of businesses, but also we’ve bought out minority shareholders in others where we know that we are able to do a better job and we can focus the team to kind of deliver on what it needs to deliver rather than get distracted by listing requirements. So all of that kind of plays in every day as our kind of strategy gets executed on that.
Laurence Alexander: Yep. Thank you.
Operator: That concludes today’s question-and-answer session. Mr. Pelaez, at this time, I will turn the conference back to you for any additional or closing remarks.
Juan Pelaez: We’re seeing a nice job, and thank you, everyone, for participating in today’s call. If you have any further questions, you know where to reach me. Take care.
Operator: This concludes today’s teleconference. Thank you for your participation. You may now disconnect.